Unidentified Company Representative: Hello, 2017. For a good start to this new stage of our Essentials2020 strategy, it helps to remember the highlights of 2016, an intense and productive year for the whole company. We started with great ambitions, an attempt to take over a weak telecom and consolidate the French market. It didn't work out, but it confirmed the central role of Orange in the French competitive landscape. And it didn't stop us from making progress on many other projects, mobile financial services in particular are one of the main keys to our business diversification after Orange cash and Orange money, we took a controlling stake in Groupama Banque. In 2017 this partnership will produce an innovative 100% mobile bank, Orange Bank. Banking requires, of course, super-strong data protection and security, an especially critical issue for our customers. The acquisition of an expert in this field, Lexsi, confirms our commitments in this area and strengthens trust in the Orange brand. A brand that continued to gain ground this year, with the rebranding in Egypt, Belgium and Morocco. With these three markets, more than 50 million new customers have joined Orange. Meanwhile, we extended our footprint with the acquisition of operations in Africa and the Middle East. We are actively working on bringing them under the Orange brand in 2017. And it's such a pleasure to see our family grow. Not to forget Europe. In late 2016, when we completed the acquisition of Sun Communications in Moldova, we reached our objective to deploy convergence in all our markets in Europe. With 10 million convergent customers, we are already Europe's leading convergent operator. In 2017 we'll continue our efforts to offer our customers the best that digital technology can provide. The new Livebox in France is a perfect illustration of this ambition, presented at the last Hello Show, offering new sensations and greater freedom. It demonstrates our ability to innovate and offers an unrivaled experience in terms of performance and content and you wanted that kind of performance to enjoy the most connected championship of the year, the Euro 2016 and even to be co-sponsor. For everyone's greatest pleasure, we rolled out 80,000 kilometers of optic fiber, enough to circle the world twice. At Orange we like competitions and not only sports. Cube, our internal contest focused on our Essentials2020 strategy, attracted 25,000 players from 94 countries during eight weeks. This innovative and fun digital challenge ended with a grand final in Madrid. Cube may have been a digital experience, but the connections it created between participants are all about people. This is the promise we made in 2016, to be a digital and caring employer that rallies its people around our projects. To us, working at Orange should mean enjoying a unique experience, on par with what we want to offer our customers. And the customer experience is everyone's responsibility at Orange, starting with us, ex-com members. To understand customers better, we head out to meet them in our shops, on the phone and in their homes. My wish for 2017 is to extend this initiative to as many employees as possible. When we stand by our customers and all group employees, listen to them. We can understand them better and respond to their expectations. Indeed, at Orange our main goal is to ensure everyone's wellbeing in the digital world. At a time when technological change is transforming our vision of society, we believe innovation only makes sense when it's for people's benefit. With human insight, we are redefining our vision and our values to offer an unmatched customer experience in 2017 and beyond.
Stephane Richard: Good morning and welcome to the presentation of our full year 2016 results. I will first present the main highlights for 2016 and then will leave the floor to Ramon to go through the details of our results. So I suggest we go straight to page 4, to see the main achievements of Orange in 2016. In 2016, both revenues and EBITDA are back to growth and it is the first time since 2008, so I think we can speak of really turnaround last year in the recent history of this Group. Group revenues grew by €248 million, thanks to a better trend in France and in Europe, especially in Spain. Thanks also to the continuous growth in Africa, Middle East and also growth in enterprise. This positive revenue trend contributed to EBITDA growth of €159 million in 2016, up 1.3% and CapEx, we're just below €7 billion. It's a CapEx to sale ratio of 17%, which is still high, because as you know, we are continuing our efforts, especially in FTTH rollout in France and in Europe and also in 4G. Our net debt to adjusted EBITDA ratio decreased to 1.93, in line, even better than our guidance of the net debt to EBITDA ratio around 2 in the medium term. All those results are the fruits of our strategy, based on the differentiation through quality and premium services. Our strategy is delivering on all fronts and I will just quickly highlight a few achievements for each of the five levels of our plan. Starting with enriched connectivity, we are now covering 20 million connectable homes in FTTH in Europe. We have launched 4G in 18 countries of our footprint and we are in line with our target to triple the average data throughputs delivered to customers. The second level is about the customer relationship. We have accelerated our smart store program, with already 157 smart stores and the first megastore of the Group is now open in Paris, not far from Opera and for those who have not had maybe the opportunity to visit this shop, I suggest very strongly that you pay a visit to this place, which is just amazing and we are very proud of it. We are in the same time trying to build a company model that is both digital and caring for our employees and we recently signed a few major agreements with the unions and with the employees. Especially one around the digital transformation in France and we are one of the first big French companies to sign such an agreement. In the B2B part, we are also accelerating and we will see that we are proud of a very nice set of results in the B2B business. And especially around the support of the digital transformation of our business customers, thanks also to some selective acquisitions. And I'm thinking more specially about Lexsi. And last, we are starting to diversify, capitalizing on our assets. We have launched now Orange Money, the mobile payment service, in 18 countries. We have nearly 30 million people using the mobile payment service at Orange. And as you know, we are about to launch the services of our bank, Orange Bank, in France, before the summer. And finally, I just want to remind that for the first time in our history, we have been ranked among the top 50 most innovative companies in the world by the BCG. Let's now have a quick look on the major figures describing our commercial performance. We are now serving a total of 263 million customers, which is more or less a stable number. We have had additional customers, but also with the withdrawal especially of the UK, this number is more or less stable. What is more important is that we have 28 million 4G customers in Europe, which is a growth of 58% year-on-year. And 3.3 million fiber customers in Europe also, with 75% growth year-on-year and that we are still accelerating towards convergence everywhere in Europe with now nine million customers on convergence plans, which is still an increase of 10%. Let's talk now about the investments. To reach this objective of providing the best quality network and services, we have been investing at a still high level through especially investment in the networks, but also spectrum, selective content and innovation. All in all, we have CapEx growing by 3%, to more or less EUR7 billion last year and we will keep investing at this level in the next at least two years. A big part of this is dedicated to fiber rollout in five countries; France, Spain, Poland, Slovakia and more recently, Romania. But at the same time, we also continue our 4G expansion, adding four new countries to our 4G, which covers now a total of 18 countries. As you know, our network in France was recognized by ARCEP as offering the best mobile network for the sixth consecutive year. Last year we also acquired new spectrum in Poland, Egypt and in four other countries, for a total of EUR1.8 billion. So clearly, 2016 has been a very active year in terms of spectrum allocation. And this is also a very important step to prepare the future. We, in the same time, continue to enrich our offers with attractive contents, allowing us to develop our TV customer base, especially in Europe and in France, where we have nearly seven million now TV customers. And we have been starting deploying an IoT dedicated network with the LoRa technology, which is now covering 120 areas in France. And last, we have rebranded three operations last year, in Egypt with Mobinil becoming Orange, in Belgium Mobistar becoming Orange, and in Morocco Meditel becoming Orange. We are working still on the developments of the global brands, which is strengthening its position as one of the main brands in the telecom world. A few words about our portfolio. As you know, we have disposed of the EE asset. I think it was the right timing, a few months before the Brexit and a few months before BT troubles, so we are relatively happy to have been able to take this opportunity. And we have also been relatively happy to take cash preferably to shares. We received €4.5 billion in cash and we have still a 4% stake in BT Group. In the same time, last year we have also put an end to the Kenya story, which was a sad story for the Group, but now it's over. And we have also reinforced our presence in Africa through the acquisition of four new operations; Liberia, Burkina Faso, Sierra Leone and we have consolidated the market in DRC. And we are happy about those acquisitions, we have especially an operation now in Burkina Faso, which is a very, very beautiful asset of the Group. In Africa we have also taken a stake in Jumia, which is the largest e-commerce service in Africa, meaning that we are also preparing the future of internet services in Africa. We are now convergent everywhere in Europe, including in Moldova, the smallest country where we operate, by buying the main cable player in this country, Sun Communications. And in the B2B division we have completed a few acquisitions, I would name especially Lexsi, which is a highly specialized team of experts in cyber security that will enable us to strengthen our position in cyber security services which is, as you know, one of our priorities. We have completed also the acquisition and now the integration of Groupama Banque, which is now Orange Bank. And that will be the basis on which we are going to launch our bank services later this year. And last, as you know, we are very active also in the start-up area, investment, through a lot of different tools and we have also completed a number of investments, a few of them are here mentioned. I am sure that among them we will see maybe some unicorns, I don't know, but at least I'm sure big successes of the years to come. Our guidance in 2016 has been perfectly achieved. We had promised to deliver an adjusted EBITDA in 2016 above 2015, it's done. The net debt to EBITDA ratio is under two times. The dividend, of course, is confirmed at €0.60 for 2016, meaning that we will pay €0.40 in next June. And in terms of M&A, as I mentioned, we have been pursuing our policy of being very selective in M&A, with a strong focus on our existing footprint. And now Ramon is going to give you more details about those results.
Ramon Fernandez: Good morning. So first point is to say that this is the first time that we are releasing our figures, with a new reporting segment dedicated to our new banking activity, Orange Bank. So from now on and unless otherwise specified, all Group level mentions will include both telecom and banking activities. Conversely, all mentions excluding Orange Bank will be explicitly called telecom. In addition, we will book the net banking income in our Group consolidated accounts as other operating income that is below the revenue line. This means that all revenue mentioned will refer to telecom activities only and it also means that Orange Bank net banking income feeds directly into consolidated adjusted EBITDA. Now let's turn to our revenue. In Q4, Group revenue grew by 1%. This is plus €106 million, improving on Q3 growth, which already stood at plus 0.8%. On a full year basis this momentum translates into plus 0.6% revenue growth, this is plus €248 million. And so the Group returned to growth in 2016, one year ahead of our Essentials2020 target. Q4 revenue performance was driven by Europe, especially Spain, which grew close to 8%, this is plus €96 million. Africa and Middle East reported a moderate growth of 1.6%, impacted by destabilization of the Egyptian economy at the time of the devaluation of the Egyptian pound and also by political instability in Democratic Republic of Congo. France was still impacted by the decrease in national and European roaming, but the underlying trend remained broadly unchanged in mobile services, despite the intense promotional activities in the Christmas season. Turning to EBITDA, in Q4 EBITDA was up 4.8%, confirming the improving trend of the previous quarters. On a full year basis EBITDA grew by 1.3%, this is plus €164 million. We limited the impact of top line upturn on commercial content and interconnection costs, thanks to our efficiency program, Explore2020. And we continued our efforts on other costs, such as distribution, other general expenses and labor costs. Full time equivalent employees decreased by 2.8% year-on-year in the fourth quarter, mainly in France and Poland. Overall, ongoing efforts on cost efficiency allowed us to transform two-thirds of revenue growth into EBITDA, demonstrating that we achieved the right balance between growth and profitability. Let's give a closer look to our cost efficiency program, Explore2020. You can see here that since 2015 we realized significant gross savings of €1.7 billion and this is perfectly in line with our target of €3 billion of gross savings between 2015 and 2018. We implemented several initiatives, consistent also with our ambition to offer an unmatched customer experience. We moved forward in the digitalization of processes and customer interactions. In Europe, 39% of customer interactions were digital, which allows for a significant decrease in call rates. Digitalization allowed us to save €300 million over the last two years. One-third of our savings were achieved thanks to sharing and mutualization initiatives, half of all our mobile sites were shared at the end of 2016. And we also increased the platform mutualization among countries. We also accelerated simplification programs in all areas, with rationalization of our information system, as well as the distribution channels. The number of shops decreased by 7% in 2016 in Europe. We also pushed local initiatives, aimed at reducing energy costs, decreasing the energy consumption per customer by more than 6%. All in all, the ratio of indirect costs to sales decreased by more than 1 point compared to 2014 and this is also perfectly in line with our 2018 target, which is to reduce the ratio of indirect costs to sales by 2 points. In terms of net income, you can see on this slide that the net income group share increased by EUR283 million in 2016, that's EUR2.9 billion, this is a 10% increase. This improvement was driven by a better reported EBITDA, as well as a gain of EUR2.3 billion on the disposal of EE, offsetting the negative effect of around EUR1 billion impairments in Poland, Egypt, DRC and Cameroon, as well as the depreciation of BT shares. Turning to slide 14, you can see here that in 2016 we have reduced our net debt by EUR2.1 billion to EUR24.4 billion. We received EUR4.5 billion in cash for the EE disposal and we now also have 4% of BT shares. We pursued our selective M&A policy, with acquisitions in Burkina Faso, Liberia, Sierra Leone, DRC and Moldova, as well as the majority stake of Groupama Banque, now called Orange Bank. We continued to reinforce our leadership with the acquisition of new spectrum, especially in France, Poland and Egypt. This had an impact on our net debt of EUR1.8 billion and we increased our CapEx effort in order to support our very high broadband strategy, as mentioned by Stephane. At the end of 2016, our net debt to EBITDA ratio was at 1.93, compared to 2.01 a year ago and this leverage is fully consistent with our guidance of around 2 in the medium term. Our liquidity position remains strong, with EUR14.2 billion at the end of December, this includes EUR7.8 billion in cash. The group continues to have a prudent but opportunistic management policy regarding its liquidity with, for instance, the issuance in October of $1.25 billion bond bearing negative interest rate after hedging in euro. Also with the anticipated renewal in December of our syndicated credit facility of EUR6 billion for five years. Let's now turn to the business review, starting with France. In France, operational trends continued to improve in the fourth quarter, with total revenues close to stabilization at 0.8%. Going down, despite some expected adverse effects and this is demonstrating the success of our strategy, which is, as you know, focused on very high broadband and convergence. Looking at fixed broadband revenues, they show steady growth at close to 5% in Q4, nearly offsetting the decrease in mobile service revenues. With fiber acting as a key driver, we've now 1.5 million customers. Broadband ARPU recorded sequential growth for the third quarter in a row. This is plus €0.10 sequentially and plus €0.30 year-on-year. It was supported by recent price increases, combined with an improvement in our customer mix and our value -- our inter-strategy is working, it's working well. We managed to achieve strong fiber net adds, as you will see on the next slide, while limiting the level of promotions in, as we already said, in a very competitive environment. In 2016, less than 20% of our fiber gross adds were made through the €19.99 offer, significantly less than 20%. As expected, mobile service revenues down 4.6% continued to be impacted by the decrease in European roaming prices and in national roaming. But excluding these effects, the underlying revenue is in line with the previous quarters at close to minus 1%. So it is the same story as in the previous quarters, around minus 1% in terms of structural evolution during 2016. At the end of the day, it's good to see that in 2016 fixed broadband revenue growth accelerated and in fact was multiplied by two, while at the same time the underlying mobile service revenue trend has been cut by two. Combined with our ongoing efforts on costs in France, going down by €222 million, this led to an increase in full year adjusted EBITDA by 37 million and this is plus 0.5 points in terms of EBITDA margin. Let's now look to the commercial performance, still in Q4. Strong net adds, which are driven by very high broadband and convergence. At the end of the year we had 5.5 million B2C convergent customers this is 57% of the broadband customer base. Convergence is a strong retention and acquisition tool supporting our performance, both in fixed and mobile. 76% of new convergent customers were new fixed or mobile customers and also in line with previous quarters, broadband churn rate for convergent customers was close to 8 points lower than the churn rate for broadband non-convergent customers. In mobile, we recorded another strong commercial performance this quarter with 131,000 net adds. While we managed to maintain a price premium versus our competitors, with limited promotions during the quarter, we successfully posted positive net adds, both on Orange core brand and Sosh, with respectively plus 63,000 new clients with Orange and plus 68,000 net adds with Sosh. Compared to the fourth quarter of 2015, the share of high end customers increased by close to 1 point and this quarter also showed stability in the contract churn rate, which is at 2.7%. Very low despite once again a very competitive environment, especially on the low end of the market. On fixed broadband, we now have more than 11 million customers, thanks to 95,000 net adds this quarter. While we increased prices in May with the launch of a new box, this solid performance was supported by our fiber strategy, with once again a record quarter with 145,000 fiber net adds, of which more than half, 53%, are new Orange customers. FTTH adoption rate was at 21%, this is up 2 points, compared to the previous year and we have now fiber representing 13% of our broadband customer base. So thanks to this very strong commercial performance, we also improved our broadband customer mix, increasing by 1 point, the share of high end customers. So all in all, good momentum in France in Q4, with good commercial results, strong fixed broadband and fixed wholesale performance, offsetting the mobile services revenue decline. This strategy focusing once again on convergence is paying off. Let's now turn to Spain, where growth was once again very strong this quarter. In Spain, overall revenue grew by close to 8% in Q4, confirming the 7.8% growth achieved in Q3, where we clearly over-performed markets growth of a third consecutive quarter. H2 adjusted EBITDA grew by 11.7%, this is plus EUR76 million, reaching 27.9% of sales, plus 0.9 point, thanks to revenue growth and to still improving integration synergies following the Jazztel acquisition and this is more than previously announced in terms of run rates. Mobile revenue increased by 7.5% in Q4, driven by the 5.8% growth in the contracts base and supported by recent service upgrades, the latest on the Jazztel brand late October and this February on the Orange brand. Fixed broadband revenues increased by more than 10%, despite quite aggressive Christmas campaigns from our competitors, Telefonica and Vodafone, which were not matched by Orange. And this record high growth performance was driven by a 5% growth in subscribers and a 7.5% growth in broadband ARPU, fuelled by fiber and TV penetration. Turning to the commercial performance in Spain, on mobile our 4G user base increased 54% year-on-year, reaching 7.9 million customers. Orange is clearly leading the 4G Spanish market in Q3 and in 2016. Fixed broadband commercial performance was also very good, with leveraging our 9.6 million FTTH connectable home footprint. And we grew our fiber base to 1.6 million clients, a twofold increase over 12 months, now representing 41% of our fixed broadband base. TV subscribers were multiplied by 1.7 point over 12 months, even though we reduced promotions on football in Q4. And with regard to convergence, Orange continued to be the most dynamic operator in Spain, having a high penetration of B2C convergence in its fixed broadband base, we're now in Spain at 84% and this is still growing. So in a nutshell, in Spain a great turnaround. In Poland, 2016 was a bit more difficult, even though revenue growth in Q4 was positively impacted by equipment sales and higher revenues in ICT. Fixed service revenues trend was unchanged compared to the previous quarter. Full year adjusted EBITDA was impacted by the decrease in revenues, but also the increase in commercial and interconnection costs. In order to reverse this disappointing fixed performance, CapEx increased, as we are stepping up our efforts in the fiber rollout and this is starting to bear fruit. We had 88,000 fiber customers out of a total footprint of over 1.5 million homes passed. And in Q4 we posted 31,000 net adds on FTTH, most of them being new customers. As mentioned previously, we also depreciated Orange Poland value in our books and the company decided to revise its dividend policy, precisely in order to allocate more resources to its transformation plan. Specifically also investing in fiber, as it plans in 2017 to increase the fiber coverage by 40%. Orange Poland turnaround strategy is not only based on investment, but also on efficiency, especially on cost savings. Having already introduced important organizational changes in 2016 to enforce better execution and the company will disclose a detailed strategy plan later in the year. In Belgium and Luxembourg, mobile service revenue grew by 2% in Q4, driven by ARPU growth and visitors roaming. Consolidated revenues were stable, with a decrease in other revenues due to base effects. Excluding the net impact of the pylon tax after we reached agreement with the Walloon Government to drop such a tax, the full year adjusted EBITDA increased by 1%. And this comes as a result of revenue growth net of EU roaming and cost control. Orange Belgium also pursued its transition process with the successful rebranding and the national launch of its convergent offer, leading to 16,000 convergent net adds in Q4 versus 7000 in Q3. And now reaching a total base of 33,000 convergent customers. Let's turn to Central European countries, which registered a seventh consecutive quarter of revenue growth. We have a good commercial momentum with post-paid customer base growing close to 4% in Romania and more than 6% in Moldova. Mobile customer base reached 15.1 million, of which 8.2 billion in contract. This is an increase of over 4% year-on-year. And the 4G base is standing at 3.2 million, with an increase of 360,000 customers over Q4. We pursued in these countries our convergent strategy. In Romania we launched a national convergent offer, while the acquisition of Sun Communications in Moldova boosted our very high broadband base, now at 123,000 customers in all the Central Europe region. Also as part of our strategy in mobile banking, we have launched Orange Money in Romania in November. Let's turn now to Africa and Middle East, where we recently integrated for new operations. The revenue in this part of the world grew by 1.6% in Q4, this is plus 2.6% in 2016 and that was impacted by, as already said, a deterioration in the economic environment in Egypt and some political instability and customer identification processes in Congo. This customer identification process is nearly completed in the whole region now. And thanks to strong commercial performance in a number of countries, Ivory Coast, for instance, Guinea, Burkina Faso, Mali, the customer base grew in Q4, confirming the positive trend of previous quarters. The shift from legacy voice to data is accelerating. Mobile data revenue grew by 31% in Q4, with 4G available in 10 countries and this evolution of data growth was even stronger on a yearly basis, it was 38%. Orange Money generated €135 million of revenues in 2016, this is up 53%, with a total number of 29 million customers, of which 8.4 million were active in the last 30 days of the reporting period, generating 5 billion of transactions over the quarter. B2B revenues were also up, 8% on the quarter and it's over 8% year-on-year. In order to support these new business drivers, data, B2B, Orange Money, we are continuing to deploy 3G and 4G networks, while keeping the other indirect costs under tight control. And excluding the impact of foreign exchange in Egypt, the EBITDA margin was stable in the second half of 2016, despite limited revenue growth and new taxes. Turning to enterprise, in Q4 revenues showed a strong resilience in voice, while data was impacted by base effects and the loss of a couple of international contracts. Growth continued to be fuelled by IT and integration services. In Q4, security and cloud grew by 26% and 20% respectively, supported by the integration of two new acquisitions, Log'in and Lexsi. Full year EBITDA grew by 8% in adjusted EBITDA margin, improved by 1.1 point, driven by revenue growth, but also by the improvement of international profitability. And so a good year, a good year also for Orange business services, with a positive growth of 0.7% in 2016, in a very competitive market. So this concludes our operational review and let me now turn back to Stephane for our 2017 guidance.
Stephane Richard: So now regarding 2017 guidance, we want first to grow, or to keep on growing the Group EBITDA with this simple target to reach an EBITDA this year above 2016. So clearly we are focusing on consolidating the positive trends in EBITDA generation that we started in 2016. Regarding the balance sheet, we are keeping this long-term, in fact, objective to have net debt to EBITDA ratio around 2 in the medium term. Regarding M&A, we will still be very selective with a focus clearly on existing geographies. No change with the recent years. And last but not least, regarding the dividend policy, we are going to propose next year, in 2018, to the general assembly to raise the dividends to €0.65. It's an 8% increase in the dividend and it reflects for us the improving profitability of Orange that we initiated in 2015 and that we confirmed in 2016. It's also a clear sign for us to the market to say how confident we are in the prospects of Orange in our performance of this year and of the coming years. And last, we think that it also strikes a good balance between the stakeholders of the Group in terms of return in the value creation. I am talking about, of course, our shareholders through this dividend rise, but also employee value sharing and we will have specific also tools and a mechanism to enable our employees to also have their part in the value creation process. So this is the 2017 guidance and now we are ready for the Q&A session. I am here with most ex-com members, so we are ready to answer your questions. Thank you.
Q - Vincent Maulay: Two questions, the first one, it's Vincent Maulay from Oddo. The first one on the famous Canal+ saga, just on the French premier league, the auction could happen earlier than expected, so namely maybe early 2018 or mid-2018. So is it a fair timing assumption that if you want to build up a key partnership with Canal+ this deal will need to happen in 2017? And regarding contents, what about the, how bold could you be to invest in production of usaa or French series? And what about the risky one when we see that sometimes Netflix is about to crash, multi, several hundred million dollar on fair bet? And maybe a quick one on the new mobile tariff grid. So you have slightly increased the pricing in August, giving more gigabyte per bundle. So do you really see some phenomenon of optimization from some clients trying to pay less for more bundle? Or is it a negligible phenomenon and all in all you say that they must pay more for more?
Stephane Richard: Alright, so regarding Canal+ thank you to give me the opportunity to clarify maybe a few things about this. The first thing that I want to say very clearly is that there is no discussion between Vivendi and ourselves regarding a possible stake from Orange in Canal+. So there is no capitalistic discussion between us. We are only talking about industrial, commercial partnership, which is already strong between the two companies. I just want to remind everyone that we are the number one distributor of Canal+ in France. And we are also sharing our views on a few topics. And among them, the sports right prospects that we have. You mentioned the football rights in France. But there, as you know, other auctions that we will have in the next weeks. I don't know what will be the agenda of sports rights in France. But we could have, as you mentioned, something earlier than expected. The first thing that I want to make clear is that we don't want to do the same as in 2006 meaning that we don't have any kind of project to create a sports channel by buying rights. We did this with Orange Sport a few years ago. I decided when I took over to terminate this story, because it was not in my view a realistic project for us. And we will not start again. Now this being said, of course, we are -- we pay a lot of attention to what is going on in the French market. Everyone knows that there is at least one player who is or seems to be relatively aggressive in building a specific offer based on sports and sports rights. So we will try and we will do what is needed to protect our interests and to protect the ability of our customers in France to access the best content. If this implies for us to partner with Canal+ we are open to do that. But once again it's a partnership which is limited to an industrial, commercial distribution maybe a rights area and certainly not a capitalistic partnership. Now regarding the TV series, well you mentioned Netflix, Netflix is a big player in this industry, invests hundreds of millions in new programs every year. We are certainly not comparable to Netflix. And we have a production unit, Orange Studio who is currently doing only movies. And it is true that I ask Orange Studio to look at the capacity for us, opportunity for us, to maybe product or to be a co-producer of an original series. So we are currently working on different ideas. Production in media is a risky business clearly. And for us if we want to be also in the TV series area it's only a way of diversifying the activity of the studio, of also being able to have with a production very limited investment, a right to access to an original product. And we won't do this alone. So Orange Studio is working only on the basis of partnerships and co-production with other big players. So you can be quiet and know clearly no fear about what we could do on that area that will be perfectly selective and under partnership. And we are talking about maybe one project. We have not identified by the way this product. And it will be within the Orange Studio business. On the third question, I'll ask Fabienne to provide the answer.
Fabienne Dulac: You're right this year for customers there is two points very important the quality of the network and the data. So this summer we decide to -- we make the choice to move and to give more data but for more price. It was very important for us. And I think it was a good decision when I see the result we have in Q3 and Q4. This decision helps us to improve the mix premium we win one point year-on-year on the mix premium of mobile customer base. And it's very important for us to help -- to be sustainable in this market.
Nicolas Cote-Colisson: Hello, thank you. Nicolas Cote-Colisson from HSBC. If I may, I would like to make a follow up question on the Canal+ thing. Because I was just wondering how do you get a return if you are to invest in the sport rights without having any exclusivity attached to it? And more generally, what is do you think the opportunities for a telecom operator, especially in Europe, to leverage a vertical integration strategy given the net neutrality rules that are much stricter than in the US? And in the B2B market, we have seen the intention of ARCEP to introduce more competition. It's quite difficult to assess the risks in that segment, so I don't know if you can share with us your initial views of a possible change in the market structure there. Thank you.
Stephane Richard: Well on the first question I don't want to enter into details because we are talking about something which is a hypothesis and not a specific project. But what you have to understand is that we are regarding this content topic with a very pragmatic and opportunistic look. We are not talking about strategy. We are not -- we don't have any strong ideas about what we should do or what we shouldn't do. We are based on our own experience in this content, let's say, topic with happy and good stories like OCS, which is, as you know, very successful now story with 2.5 million subscribers in France and an exclusive deal with HBO. But also failures with Orange store that I mentioned earlier. But when I say pragmatic, I mean that we are looking to this with both defensive and to some extent offensive look. Defensive for us because what could be a problem for us would be to see one of the players in the market to take the rights, the football rights, the national and the international. And I'm not talking about exclusivity and I think that we should not now or in the future think in terms of exclusivity. But you know that there are much more subtle ways to take advantage of a strong position in content than exclusivity. And once again, what I want to do is to protect our customers, to protect our interests and to be sure that in any circumstances we'll be able to access in the best possible financial conditions to the contents that our customers are demanding. And this might imply once again a form of implication or involvement in the sports rights area. I just remind you that that's what we did in Spain. And we are happy to have done this in Spain. Because now the fact that we have access to the best content in Spain is also one of the factors that explain the performance that you have seen in Spain. Now it is true that there are net neutrality rules in Europe that are more restrictive than in the U.S.. But as you know this is also an evolving topic. There are ongoing discussions in Europe. There are some topics that are still not very clear like zero rating for instance, which is going to be one of the big questions in the media to telecom strategies. So my view is that we don't know exactly now how in terms of regulation and also in terms of anti-trust how this will take place. And once again, our attitude is to be pragmatic and to pay a lot of attention to what is going on market by market. What might be true in France or in Spain might not be true in Poland or in Belgium or anywhere. But we cannot, of course, ignore that there is also, there is now I mean for a lot of reasons that I will not develop right now, it is part of the concerns and topics that we have to manage. Regarding the B2B market, maybe I will ask Thierry to provide you with the answer about the possible consequences, in fact, of a change in regulation, or in competitive rules in the B2B in France.
Thierry Bonhomme: In fact this is a part of current discussions which is organized by ARCEP in France broadband access market both for the consumer market and for the B2B market where ARCEP is looking for the introduction of a new wholesale operator in the market. Our main request, and the answers, which are currently under exploration both sides by ARCEP and the different party [indiscernible] within this consultation are symmetric rules for the different players in the market. That being said I think we are very close. I am looking at Pierre Louette at the same time for the answers provider to fitting almost all the requirements of ARCEP. And that being said, when it comes to competition that's our day-to-day business. We have been working in this B2B market for years. And it's every day. For every RFB there are many, many players entering the market. So we don't fear this future competition. It's a question as stated by Fabienne of quality of service, coverage and capacity to execute and operate accordingly when it comes to the [indiscernible] and I that's I think one of the key assets of Orange and Orange business services by the way.
Fred Boulan: Hi, good morning. Fred Boulan from Bank of America. Two questions please, firstly on fiber if you could share with us a little bit where you are versus your expectations. You presented to us at the capital markets day on the economics of fiber, especially taking into consideration the willingness of ARCEP to rebalance coverage in medium density area to a degree. And secondly on M&A if you could share a little bit your thinking on external growth. Is EMEA still the main focus or should we start to think a bit more about broader moves in Europe. Thank you very much.
Stephane Richard: So allow me to try to summarize where we are in terms of fiber. I will ask maybe Fabienne to make a point on the commercial side, and Pierre on the regulatory landscape with the recent debate with ARCEP and also the RIP part of FTTH roll out. Fabienne?
Fabienne Dulac: So on the commercial trend on the fiber as mentioned by Stephane and Ramon it was a very good quarter, the best quarter we ever record with 145,000 net add. It's a very good performance because you know the market was very aggressive with a lot of promotional. The point very important for us is to pursue in this strategy deployment, accelerate the deployment. We would like to reach -- we reach this at the end of the year 6.9 million connectable homes, 1.5 million of customers and we would like to -- we want to accelerate next year and to be in the same strategy as we have because it's very successful for fiber but also for, you see broadband revenues. I would like just to say two points. It's a success for acquisition. I remember you, I recall you sorry, 43% of fiber customers are new. So it's a tool of acquisition for us. And it's a tool of up-sell. It's what you can see in the ARPU very well oriented at the end of the year and we will pursue in this direction. So accelerate the deployment, accelerate the commercial dynamic because it's a very good success for us. Pierre?
Pierre Louette: Yes I always have to balance what Fabienne says because a great success is a great success but it's not too big when it comes to what ARCEP looks at. So we have this dialogue between us all the time. So actually, it is a great success but it doesn't take us to a very dominating position when you look at the high connectivity market. If you integrate in this market the new fiber and the new modernized cable then we have a market share, which actually is under our normal market share. And this is exactly based on the ARCEP publication. We have about 32%, 33% of the overall high bandwidth market. And this is what we are looking at in terms of competition law. So that's the first point. And that's what we said in the, let's say, very open dialogue we had with the ARCEP President at the beginning of this year. We told him okay taking your own figures; we are not dominating this market. In terms of conquests in terms of commercial performance, yes, we are delivering really well because we have invested so we are making conquests. And the others were able to do so. They were -- it's a free market it's a free country you are able to invest. And if you invest based on merits and investments you gain access to the market and you gain more customers. And they haven't invested so they are lagging behind. So now looking at all the things, which have happened since early January, first of all, there has been a clarification from the ARCEP side. There will be no unbundling of fiber. This has been stated very openly by the President of ARCEP. And it's more or less, what we could expect from him. There will be no unbundling of fiber so it will not be made in the same way that copper was treated in the last 15 to 20 years. So that's the first point. And then he has asked us to walk in several directions. We have made offers to our competitors in terms of access to our network centers and optical centers. We've made a deal with Bouygues for instance in that direction so Bouygues is able to access to certain capacities we have. We've made the same offer to Iliad. We are waiting for them to give us the answer. So that's one first point. We made another offer, which was expected from the ARCEP side, which is the penetration within the buildings in the less dense areas. It's been made and I think it's going to be accepted by them. And then on the other topics we are waiting for the review to go to its end. The review will happen until actually June and probably the new regulations will be published early September. So we still have some time for this dialogue with the ARCEP side. And we feel pretty confident now that nothing too harmful will happen on that side. So this is the overall perception ahead of the regulation and regulatory environment in the future. Thank you.
Unidentified Company Representative: And maybe just two final figures compared to the objectives we had set in 2015. First on -- well maybe three, on volume we are on track. The second, we had said that we aimed at having a ratio of connectible to connected going up to 25% in 2018. Now we are at 21% and this is perfectly in line with this target of 25% in 2018. And third, in terms of incremental revenues coming from fiber the incremental ARPU compared to ADSL we said in 2015 that we were aiming at reaching a €7 incremental ARPU with fiber compared to a starting point of €5. Now we are getting close to €6 we are at €5.8. So here, also we are perfectly on track. And this, of course, has been triggered by the price evolution that we decided last spring when we launched the new box. So in terms of figures objectives we are perfectly on track with what we had said in early 2015.
Stephane Richard: Follow-up?
Fred Boulan: Yes just a follow up maybe if I may to Pierre, so at this stage you're comfortable that the current coverage that has been decided between you and your competitors in the medium density area will stay more or less intact or you expect some potential modifications.
Pierre Louette: Thank you. So you're mentioning probably the repartition with the [SFR Numericable] side on the less dense areas. Just a few facts to remind you originally there was a call for investment and everybody was able to say we are going to invest in those areas or not. And I always mention this because it has to be very clear, some of our competitors made no statement, declared no intention to invest and so now they are lagging behind. It's a very clear thing if you do not invest you're going to be lagging behind. Fabienne's teams have been investing very steadily in spite of the price wars and everything. And so now, we have taken some advantage. This is pretty normal actually and something that everybody should accept. With SFR Numericable we have been facing two or three different phases of SFR. The original SFR had stated its intention to invest. They were supposed to take 25%, about 25% of the less dense areas in terms of investment. And then they stopped. And now they're coming back and saying, yes, now we want to start again. We have launched our operations. We've made open statements to the collectivities in France; we have started rolling out the networks in many places. It's a very industrial process. So we could consider stopping in certain places. We could consider maybe releasing some of those territories to them. But it would stopping some industrial processes. And I don't know if it's going to be in the interests of the speed of the roll out in the roll out in the country. So probably in the future it will come to those discussions. It's difficult to prevent someone who now says he wants to invest from investing. But the past doesn't speak clearly in favor of SFR. Talk to the collectivities, talk to the municipalities, talk to the people in Lyon for instance and they will tell you they've been waiting for those guys to come. They never came. And now we've taken over actually what they haven't done, what they haven't delivered. So maybe it's a new SFR now. But the past facts are not in their favor.
Stephane Richard: And if I may add something regarding this. The only thing that will drive us is the speed of roll out in the country. Because I think that the interests of everyone, every operator and of course the country is to have the maximum connectable homes in the shorter possible time. So we would not overestimate our capacity to roll out in every area dense or less dense. We will do our best, our maximum. We will respect our commitments and the plans. And, of course, we are open to discuss with everyone including with SFR, but once again protecting of course our interests and trying to see what is really bringing something more in the speed and in the coverage of FTTH in the country. Regarding your second question and M&A, well clearly Africa and the Middle East is the priority and the key focus for us. I would say probably more now in terms of consolidating the market where we are, in terms of integrating also the acquisitions that we made, in terms of strengthening the positions in some countries. I could mention Morocco or Tunisia for instance where we are, where we might be even more present and more active. What we want to do also in Africa and the Middle East is to build regional clusters. Meaning that we could also add in our footprint some operations in order to build those clusters. So in terms of, let's say geographic priority Africa and the Middle East is clearly the priority number one. To be honest I don't see today any real opportunity in Europe. When I look at the landscape in Europe I'm sorry but I don't see the once in a lifetime opportunity for Orange. I see some situations, most of the time very confused situations. And so there is no hurry and there is no agenda in Europe. We are focusing on Africa and the Middle East and, of course on the project that you know. The bank is a big project where we have to dedicate some management and financial resources. There s a bunch of new services and new areas in the internet world in health, in education in smart cities in the B2B division also, I mentioned some acquisitions in cyber security where we could go. And that's it.
Fred Boulan: Thank you very much.
Nicolas Didio: Good morning. Nicolas Didio from Berenberg. I have two or three questions, first on the CapEx in France. Can you give us an idea of the trend you will spend? It starts off EUR7 billion in 2016 what can we expect in 2017? And how much did you invest in fiber in 2016 and how much in 2017? Second on the RIP investments can you give us an update on where you stand regarding the deployment there? How much market share do you expect to get when all the regional contracts will be allocated? That's it for now.
Stephane Richard: Okay the figures on CapEx in France, Ramon.
Ramon Fernandez: So the figure you gave of 7 billion of course is Group level. So we invested just below €7 billion in 2016. This is 17% of sales, which is quite significant. France was 3.4 billion in 2016 and this is 18% of sales in France. Fiber at Group level is quite significant. This is around 1.2 billion. And the increase in -- and this is essentially France but, of course, Spain now Poland and smaller amounts in the two other Eastern countries we talked about Romania and Slovakia. So this is really a key element of our strategy. It is more than half of the increase of our investments in 2016. And you should expect roughly to see this kind of trend continuing going ahead. As we said when we discussed fiber this is a great retention and acquisition tool. It's working very well. So we are going to continue this effort around 17% of sales maybe a bit more. But the return on investment is great. If you look at Spain also it's not a mystery that you have a 15% increase in EBITDA in Spain in 2016. It is the result of this very strong investment also in fiber. It will be key in Poland also to go back to growth. So these are the basic figures.
Unidentified Company Representative: Okay the RIP date.
Pierre Louette: Yes the very expected RIP date. So on the RIP front we have great ambitions on the RIP today. Again, it is one of those things. If we say we have two great ambitions we are going to be criticized to some extent. In the last two or three years, two or three years ago it was told to us where are you guys, are you going to be producing RIPs are you going to be clients of those RIPs, so now we are. And basically those ambitions are taking us to a market share which will be above 30%, 35% it's not clear yet of everything that will be produced and exploited. This is the direction into which we are going. We have won several RIP competitions since early January this year Muzel is one of them Valday is another one there are two other ones that we cannot yet disclose, so we are winning them. What happens is that two years ago with Stephane it was decided that we were going to have a budget to be producing those RIPs and also a budget to be clients of those RIPs. It was something you had to negotiate internally because originally the idea was should we go should we not go. And now it's very clear the Orange machine is going to the RIPs and we are winning them one after the other. We've won also whole regions like [indiscernible] and Brittany and now we are producing the metrics in those regions with the local authorities. And we are moving in all directions. We are producing traditional RIPs we are also working on RIPs we are also working on RIPs which are VDSL and [multi-db] going higher on the copper. And so it's a clear policy now. Of course, there are players, which were there before [attitude] covers smaller players. But we are winning more and more and more competitions against them. So we are not going to be absent at all from those areas. And again in those areas we know it's interesting to be there in order to defend our market share and in order to generate revenues for the future also. Thank you.
Nicolas Didio: Just a follow up on the M&A. How do you assess in Africa the risk of currency, because I see that you have impairments in Egypt, in Cameroon, in DRC so you invest on currencies in soft currencies countries so how do you hedge the risk in M&A? Thank you.
Stephane Richard: Well the impairments that we are every year making are not specially linked to currency problems. There is the Egyptian situation, but if we take the DRC situation for instance it's nothing to deal with currency problems. It's -- the currency risk is one of the numerous risks that we have to manage in Africa and the Middle East. So I would say that we are prepared to do that but that we have tools in terms of financial coverage and management to try to face on the best possible conditions currency risk. Ramon, what can we add on that?
Ramon Fernandez: Well maybe that most of our countries are fixed exchange rate countries in the France [AFR] zone so Cameroon for instance is fixed and had nothing to do with exchange rate also. And for other countries, which are not in fixed exchange rate regimes, well you cannot hedge against the currency of the Egyptian pound. So sometimes you have good news sometimes you have less good news. You have to live with this. But we have to look at the picture all in all with --. In the past it played in many different ways. So when we can hedge we do. For instance, on the British pound on our remaining stake of 4% in BT we did, which is not in Africa but it's just to illustrate the fact that it is something that we are looking at very closely? And so whenever we can hedge against the currency risk we do. We've done it on our 4% stake in BT. And so we didn't take any hit on the downward pressure of the British pound.
Stephane Richard: What we can add also is that we are taking local debt everywhere its possible for instance in Egypt or in Tunisia or in those countries. We have -- we are trying to get local debts of course everywhere its possible. And in our industry it is possible still in most countries even, let's say, fragile countries in terms of macroeconomic or currency environments. We have to take two questions from London. So let's hear from our London colleagues.
Operator: Our next question comes from the line of San Dhillon, Exane. Your line is open please go ahead.
San Dhillon: Hi guys. Two questions if I may. Firstly on your adjusted EBITDA guidance for 2017 there were lots of moving parts in 2016 including the Egyptian currency devaluation. Could you indicate what the comparable EBITDA is in 2016 from which we can expect to grow thereafter? And then secondly Vodafone has been very vocal on Orange and Jazztel's pricing aggression in Spain. Is there a threat that you're success in Spain may trigger a response from competitors? And also any color on the mast mobile building pact would be great as well. Thank you.
Stephane Richard: Maybe Ramon the first question.
Ramon Fernandez: Yes, on your first question on the comparable basis. So first in the historical 2016 the Egyptian impact on EBITDA is EUR40 million. When in 2017 you will be looking at retrospectively on 2016 on a comparable basis you will have an impact of the devaluation of the Egyptian pound of around EUR150 million. So the impact on 2017 looking to 2016 will be around EUR150 million. Of course, it depends on what the Egyptian pound is going to do in 2017. You never know it can still go up. Second, when you will look at 2016, in 2017 you will also have but its different it's not an issue of comparable basis, but you will have the impact of Orange Bank which will be having an impact of around EUR100 million. It was EUR10 million in 2016 but 2017 of course is going to be the start of the acquisition of clients for Orange Bank and so this should help you to figure out what would be your comparable basis for 2016.
Stephane Richard: [indiscernible].
Unidentified Company Representative: So regarding Spain what would have been the remarks if Jazztel has remained independent. I shall not forget that. That's the first question we need to ask. And regarding the situation itself when I look at what has happened in 2016 I compare more the Spanish situation with the French one where the player who is the less performing has had the highest number of days of promotions. When I look at the promotions of Vodafone on the market they are offering promotions, which are at prices below the price of Jazztel whereas we have Jazztel as a competitor for the low end and we have the arrangement to compete on convergence. So second point is that when we look at the convergence it is true that the player who is suffering the most is the one who has the less convergent customers, which means that it is attacked on both markets mobile and fixed separately. This explains also the fragility of this positioning.
Stephane Richard: Alright.
San Dhillon: Okay, thank you very much guys.
Stephane Richard: One more question from London.
Operator: We will now move to our next question from the line of Andrew Lee. Your line is open. Andrew Lee, Goldman Sachs, your line is open please go ahead.
Andrew Lee: Yes, good morning. Thanks for taking my question. I just had two please, firstly just on French consolidation. It's a bit of a shot to nothing but I just wondered if you could give an update on your thinking around that. Are you still saying that you will not seal the deal? If not why not given you would acknowledge it would be a good thing? And do you not think that you will need to? Finally just on that will talks have to wait until after the election. And then secondly just on your top-line growth ambitions in France. Does the stabilization that you guide to in 2017 mean growth in 2018 or is stable the new reality going forward in France? Thank you.
Stephane Richard: Okay, so regarding the French consolidation topic the first thing that I would say is that the driving forces that led to some discussions, negotiations last year still exist. And clearly as far as I am concerned, I keep on thinking that the French market given the size of the market, given the level of investments which is required in the coming years in both mobile and fixed networks, is still a very strong reason to lead the four operators to discuss to see how they can share this or even to get back to consolidation process. In fact, if you look at Europe or even the rest of the world in my view there is no, today, real market of the size of France which is living with four convergent operators. As you know, we have now three in Germany; you have now three in Italy. We'll see what the new player is doing. You have de facto now three in Spain. And I'm not talking about the U.S., when you see in U.S. that maybe you will have a new round of discussions to get to -- to go from four to three in this market. I do think that the logic of the industry is going to consolidation. This being said, there is no deal on the table today. As you know we ended the discussions last year. And there is no change I would say in the environment, in the conditions that could lead to a renewed deal on the consolidation side in France. The elections might be a topic or not. You know in my view in this country people are still thinking in terms of the political agenda when it comes to business. And to be honest I think that there are some issues or areas where it's a nonsense. I don't see why this deal for instance should be linked or dependent on political even the Presidential elections. So if there is a good -- if we had a good deal and if the deal was good for the country I think that we could imagine to get to the deal. It is not the case today, because the overall conditions of this have not really changed since 2016 where we had, as you know, not been able to terminate the deal. So this is what I would say on the consolidation side. In my view still need for consolidation, but no short-term agenda on that. Now maybe a last word to correct something that I heard, because I know that it is an ongoing question that a lot of people have on consolidation, which is why Orange would imply to a consolidation process. Because as a matter of fact we are repeating that we don't need consolidation that we have the position and the strategy and the resources, which are sufficient to be a leader in the French market. Well the fact is that as I have already -- as always repeated we will enter in the kind of deal in consolidation or any other deal if and only if there is a strong value creation for Orange, for the shareholders of Orange and also some benefit for the customers of Orange. And clearly a domestic consolidation is the business case, which offers the maximum value creation. There is no M&A accessible for a telco which offers more value creation than a domestic consolidation there is no. And, of course, if we could participate or support or promote or facilitate consolidation in the French market we would be the first winners not Altice, not Bouygues, not Free. Orange will be the first winner of the consolidation. That is the reason why we are still open, of course, to something that might happen but it is not the agenda today. On the second question, Ramon.
Ramon Fernandez: Yes and the question was what about revenues in France in 2017. So here I think I can just confirm and repeat what we said in March 2015 when we launched our plan Essentials2020. We said that revenues in France should stabilize from 2017 and grow afterwards. This is what we said in 2015, stabilizing during 2017 and then grow. So I can confirm this. And when you look at results achieved in 2016 you can see that we can be encouraged in this direction despite this very tough competition. And second, and here I'm going to come back to the previous questions on the comparable basis EBITDA, all these elements of course are fully integrated when we have this guidance of 2017 EBITDA target, which is going to be above 2016 on a comparable basis. So this is very clear and totally integrated of course.
Stephane Richard: So one more question from London.
Operator: Our next question comes from the line of Jakob Bluestone, Credit Suisse. Your line is open please go ahead.
Jakob Bluestone: On your dividend please. Perhaps if you can just talk through a little bit more the thinking behind the dividend increase and to what extent this is the introduction of a progressive dividend policy. So is it reasonable to think that as you continue to have organic growth in EBITDA or free cash flow in the future we could expect potentially further dividend increases down the line? Or is this just sort of setting a new level for the dividend? Thank you.
Stephane Richard: Well as I tried to explain earlier we estimated that it was a good timing to increase slightly the dividend after a few years of efforts of investment of focusing also of the management team on the return to growth in revenues and EBITDA. And we have always said to the market that once we would be confident enough in the capacity of Orange to generate a growing EBITDA we would move on the dividend. That's what we do. Actually, I think we are totally coherent with what we said previously to the market. We don't want clearly to commit in a progressive policy in terms of dividend in the coming years. We have done this in the past you will remember. It was not clearly a, I think, a good idea to do this. And we will not do that in the future. So what is a clear will of the management and of the company in 2017, which is to offer to our shareholders what we, think, which is a fair participation of back to growth EBITDA generation of Orange, is for 2017. And we will consider the situation in 2018 and in 2019 depending on the performance of the company and so on. So we are not setting now a new level of EUR0.65 for the dividend for years. I'm not saying this. But we are not committing neither to increase steadily the level of the dividend. This will be a year by year decision based on the performance of the company, and especially based on its capacity to keep on the trend in EBITDA generation. Q - Jakob Bluestone Thank you.
Stephane Richard: So there is no more a question in London. Maybe one last in Paris.
Eric Beaudet: Yes, hi its Eric Beaudet from Natixis. My question regards your EBITDA bridge on slide 11 where you show that basically 2016 was hit by a few one-off costs such as the sponsoring of the Euro, the rebranding in some countries. And all of that is close to EUR100 million. I was wondering if you've actually identified some of one-off costs, which will impact 2017. And if not can we take the past cost as increased in BDA for granted going forward? Thank you.
Stephane Richard: Ramon will have the last word.
Ramon Fernandez: I think life is made of one-offs and in 2016 we had some very specific events right. For instance the Euro sponsorship, rebranding in three countries so these were quite demanding one-offs and they are clearly one-offs. There is no one Euro Championship every year and etcetera in the rebranding. We have minor rebranding, well not minor in fact important but much less costly in the four new African countries. But this is nothing can be compared about. In terms of the EBITDA once again for 2017 I've seen what the consensus is expecting in terms of rate of increase. It doesn't seem absurd to me it seems quite reasonable.
Stephane Richard: Thank you very much